Operator: Good morning, and welcome to Taylor Morrison's First Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. As a reminder, this conference call is being recorded. I would now like to introduce Mr. Jason Lenderman, Vice President, Investor Relations and Treasury.
Jason Lenderman: Thank you, and welcome everyone to Taylor Morrison's first quarter 2017 earnings conference call. With me today are Sheryl Palmer, President and Chief Executive Officer; and Dave Cone, Executive Vice President and Chief Financial Officer. Sheryl will begin the call with an overview of our business performance and our strategic priorities. Dave will take you through a financial review of our results, along with our guidance for the next quarter and for the full year. Then Sheryl will conclude with the outlook for the business, after which we will be happy to take your questions. Before I turn the call over to Sheryl, let me remind you that today's call, including the question-and-answer session, includes forward-looking statements that are subject to the Safe Harbor statement for forward-looking information that you will find in today's news release. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to, those factors identified in the release and in our filings with the Securities and Exchange Commission. And we do not undertake any obligation to update our forward-looking statements. Now, let me turn the call over to Sheryl Palmer.
Sheryl Palmer: Thank you, Jason, and good afternoon everyone. We appreciate you joining us today as we share our 2017 first quarter results. Before I get to those, I want to take a moment to acknowledge our Chairman Tim Eller who recently announced his retirement from our board effective May 31. Tim has been an integral part of this company's success and I want to personally thank him for his leadership, counsel and friendship and on behalf of the board I would like to express our collective appreciation for his service and his immense contribution he's made to Taylor Morrison these last five years. Now let's turn to our impressive results for the first quarter of 2017 which I'm extremely excited to share with you. For the three months ending March 31, we met or exceeded all metrics to which we guide, our average community count was 298 and in line with our guidance to be relatively flat on a sequential basis. Net sales orders is a tremendous story for the quarter and it's important to appreciate the effect it has in showing up the balance of the year. We totaled 2425 net sales orders representing a year-over-year increase of more than 30% and a two year growth rate of 40%. Our orders growth for the first quarter was very encouraging and was something that we saw across our portfolio, it wasn't just one or two markets that delivered, it was a collective effort of each team, this was driven by our strategy to better prepare ourselves earlier in the year as we know the labor environment will be increasingly pressured as we move into subsequent quarters. We must ensure our customers have seamless delivery process throughout the entire year which is best accomplished with a plan production cadence and avoiding in over-weighted year end. I believe it's also worth noting our sales momentum has been building since the third quarter of last year in both the third and fourth quarter of 2016, we saw a year-over-year orders increase of almost 20%. While the orders growth in the third and fourth quarters of last year can be attributed to community count growth, our results from this year's first quarter are also being driven by a razor sharp focus on return and community efficiency. As I mentioned in last quarter's call, we have emerged from a deliberate transformation and have since reinforced our internal efforts to drive accretive returns through efficient operations. We have seen a significant increase in our sales per outlet with our first quarter coming in at 2.7 which equates to a 35% increase year-over-year. These results achieved strengthened sales efforts, practices and focus while taking advantage of the overall positive economic outlook, put it different way we didn't have to rely on disproportionate pricing changes or discounts to generate, this is evidenced by our reaffirmation of our margin guidance for the rest of the year, we always take that responsible approach to pulling on the right levers to get our expected outcome through a keen understanding of market elasticity with the second quarter April is shaping up to be another strong month for us but the sales pace expected to be near three sales per community per month compared to a pace of 2.3 in April of last year. We also finished the quarter with higher than expected closings of 1,630 a 17% year-over-year increase and a two year growth rate of more than 50%. This generated a 40% year-over-year increase in EBT dollars and an earnings per share of $0.30. Once again our closings performance was heavily influenced by the outstanding efforts of our teams and their strong working relationship with our trade partners, we continue to manage through a tight labor environment that we have been able to mitigate some of that risk based on these relationships and a production cadence across the organization. It is a true testament to finding solutions in a tough environment. Our field teams along with our trade partners should take great pride in their collaborative efforts. I think it's fair to say we've had a busy quarter and our hard work throughout has put us in a good position to deliver for the year in fact our solid first quarter has created the confidence for us to raise our closing guidance which Dave will outline in his remarks. From a macro economic standpoint, there are encouraging signs as we move through the spring selling season, trends in consumer confidence are healthy and consumers are expressing optimism regarding the short term outlook for business, jobs and personal finance. Personal balance sheet continue to strengthen and a component of that can be attributed to increasing value in real estate. On an industry basis, low supply level in both new and existing homes are balancing well with demand factors and interest rates still below historical averages, the current lending environment provides a real opportunity for home ownership and we are committed to use our voice to help educate our customers, we recognize that affordability is a key consideration for our buyers which is why we frame our value proposition in a way that resonates most closely with them, we work with our buyers to understand their long-term strategy and provide down-payment and qualification information that is well within their ability and budget. Unfortunately surveys continue to report that many consumers still believe attaining a mortgage requires 20% or more down payment and perfect credit history. Our strong orders performance appears to be driven by organic reasons around consumer sentiment and other macroeconomic factors, although rates are expected to increase over time, they remain attractive to most consumers. In fact according to our 2017 consumer survey conducted by Wakefield Research earlier this year, recent and prospective buyers both believe that owning a home is so appealing they would be willing to take on significantly higher interest rates before being discouraged to enter into the home buying process. Millennial Shoppers had an even higher threshold on interest rates and tend to focus on payment or a percentage of income applied towards housing. As we look at customers in our pipeline, we continue to see a very strong borrower profile with an average credit score in the mid 740s which has been the case for the last several years. Our average borrower had an LTB of 78% with a debt-to-income ratio of 37% on a loan amount of almost 341,000. Our customers obtaining conventional programs qualified interest rates up to 600 basis points higher than today's average 30 year fixed mortgage rates while customers using FHA financing qualified rates of just 300 basis points higher, we counsel our customers on the impact of a rising interest rate market during their build process, so they are prepared and educated to make the best choice and buying decision for their specific financial needs. Now let's turn to our focus on creating value for all of our stakeholders, we look to our strengths and experience which include our ability to understand our customers affected segmentation, scalable processes and tools and being nimble when necessary. I believe these key attributes are a part of our company DNA and were instrumental in our successful first quarter and more importantly position the company for what's ahead. I'd like to take just a moment to walk you through each of them. Understanding the customer is critical in any business and the importance of being able to do that is more pronounced than ever in our industry, we offer a product that in most cases will be the largest purchase accretion will ever made and we do not get many chances for do-overs. We use our customer knowledge to drive our decisions through each step of our business model which is rooted in our strategic core pillars, it starts with acquiring the right land in the right locations in each market, you've heard me talk about our core land acquisition strategy and that is driven directly by feedback from future home buyers and our customers. The strength of understanding our customers naturally allows us to segment and target more effectively, a good example of our effective segmentation efforts is in our active adult offerings, appreciating the strength and importance of this boomer generation 75 million strong and representing $2 trillion of expected real estate in over a five year period, we have more than doubled our community count for these customers since 2014. This is an area that planning and consumer research and intelligence has served us well, we have numerous tools that help us understand our customers such as shopper and buyer surveys, focus groups, data gathering and a company wide effort for all of our employees to strive to understand their wants, needs and desires by truly knowing our customer, we put ourselves in a position to create an experience that will lead to better outcomes throughout the chain of engagement, the mindset and knowledge dictates how we identify and connect with our prospects, present our models and interact during the entire lifecycle of the home buying process, it really is a start to finish approach and one that we take very seriously. A good example of this feedback route is our age targeted Esplanade Golf & Country Club Community in Sarasota, one of 10 within our Esplanade brand. We made it a point to continuously the listed customer input and based on that communication we may change for this way in which that community took shape, which was quite different from what we had originally planned. [Technical difficulty] -- the idea centered that needed programming and amenities and life style enhancements. And after thoughtful evaluation we felt that they were compelling suggestions, those changes along with the trust we have earned have proven to the big return drivers for that project. As an example, we have had over 150,000 annual visitor to our new resort amenity offering life style. We have seen our sales increased nearly 40% year-over-year truly remarkable numbers and one that proves what a success it has been for our home buyers and our residence. And the last trend I will mention is something that I think we have exhibited fairly offend over the last few years and that's our ability to be nimble in these evolving markets. It started with our first trend recalibration and multiple acquisitions and now has culminated into our emergence from transformation that I mentioned in our last call. Having the right team in place to quickly and effectively access determine and map up the right strategies along the way has been invaluable. We had to be nimble as we changed the organization while also focusing on delivering results in the present. I have every reason to believe that these atrophies will continue to service well into the future. We are faced with an ever-changing world and there will be circumstance we can't anticipate like [indiscernible] Valleys in the market, and as during those times. When we really leveraged this trend, which certainly is a superior return throughout the business cycle. A strong quarter only possible because of the tremendous teams across the organization, they continued to be overachieved on a day-to-day basis while also looking for ways to make our future better. Our perseverance can provide a way for our company to reach new high and in doing so make us all proud along the way. I can say with great confidence that our team were led out our internal purpose statement everyday which is building a better tomorrow for your family and ours. With that, I will turn the call over to Dave for the financial review.
Dave Cone: Thanks, Sheryl, and hello everyone. For the first quarter net income was 35.6 million a year-over-year increase of 37% and earnings per share was $0.30 an increase of 43%, total revenue were 759 million for the quarter including home building revenues of 750 million. Home closing gross margin includes about capitalized interest was 18% and inline with guidance. We believe our first quarter closings gross margin represents the lowest quarterly rate for 2017 as we expect our rate to be sequentially accretive as we move through the year. Moving to mortgage operations, we generated more than 40 million of revenue during the quarter representing a 48% increase over the prior year. Gross profit was about 4.5 million with a marginal rate of nearly 39% 660 basis point improvement over Q1 last year. Our capture rate for the quarter came in at 74%, our mortgage teams once again delivered an outstanding quarter. SG&A as a percentage of home closing revenue came in at 11.8%, which represents 50 basis point improvement over the prior year quarter. Last year, we spoke about the investments we are making back into the business and people and systems to drive greater scale today and beyond. We are pleased to see these investments begin to deliver leverage. We will continue to make investments going forward, but we believe these will be less material and we should continue to driver leverage year-over-year and into the future. Our ability to drive more efficiencies throughout the next few quarters will be largely based on the timing of closing and certain expenses. We remain focused on prudent cost management, which as, you know, has been one of our key priorities for many years. Our earnings before income tax is totaled 54.5 million or 7.1% of total revenue, which is an increase of over 100 basis points year-over-year. Income tax is totaled 18.9 million for the quarter representing an effective rate of 34.6% which is higher than the first quarter of 2016. Last year included a release of a small reserve and we have now recognized any energy tax credits for home closed in 2017 as congress has not extended the energy tax credit as of yet. For the quarter, we spent about 170 million in land purposes and development. At the end of the quarter we had approximately 37,000 lots owned and controlled. The percentage lots owned was about 73% with the reminder under control. On average our land being kept 4.9 years of suppliers at quarter end based on a trailing 12 months of closings. From a land pipeline perspective, we are in a position to focus entirely on acquiring assets to deliver closing then 2019 and beyond. This emphasizes our strong land positions, which will enable us to deliver on our top line expectations. This flexibility allows us to be selected and which deals we purpose and where we pursues them. For instance in the first quarter, the majority of our deals were either in our newer markets such as Atlanta, Taylor Morrison and Dallas or in our finished lot businesses that operate under the Darling brand. At quarter end, we had 3,927 units, and those units have a sales value of our 1.9 billion. We ended the quarter with 1,300 total specs which include 253 finished bags. On a third community basis, we had just over four total specs and less than 1 finished spec for community. We continued to strategically deploy spec with 10 communities where quick move and demand exists. We ended the quarter with more than 300 million of cash in our net debt to capital ratio with 33.5%. We do not have any outstanding borrowing on our 500 million unsecured revolving credit facility and are only projecting the uses on a minimal basis for the year. Our capital allocation philosophy remains consistent and our focus is on four areas investing back in the business, in organic growth paying down debt and returning cash to shareholders. In 2015, and 2016 we employed strategies that touched all four areas. This year we will take the same approach as we did at the beginning of those years to deploy our cash in the ways that represent its best use. At the end of this year, we may or may not touch all of those areas again either way our capital allocation will be determined by clear set of parameters and an overwriting responsibility to be good stewards of the company's cash. Our investment philosophy will continue to be critical component and driving short-term performance while securing the long-term outlook for the overall business and maximizing returns. I want to spend a moment to discuss our second equity offering this year that happened in late March. We issued 10 million shares of Class A common stock and identical to the first issuance of the year. We use the proceeds from the offerings to the purchase partnership units from our equity sponsors. This offering was not dilutive and our total share account did not change. The biggest change is to our public flow,, which at the beginning of the year was in the mid 20% range and is now nearly doubled that following the second offering. Our management team and Board of Directors remains solely focused on generating the most beneficial outcome for all of our shareholders. As Sheryl mentioned we are focused on operational efficiency leading to enhance financial returns, one of the ways in which this will manifest itself is through our asset and inventory turn metrics. From an asset turn perspective, we've shown improvement year-over-year for the last few years as the industry has made its way through the cycle. In 2016, we saw an improvement of 18% this metric and for 2017 we expect another year-over-year improvement. For the first quarter we had another double-digit percentage increase and turn when compared to the same quarter last year. The improvement in this area is driven by the company's collective focus to expand our strength that Sheryl mentioned earlier. Ultimately our goal is to drive consistent year-over-year accretion to ROE which 2017 is set up to do just that. Our infrastructures in place to meet the demand of our growing business, as a recently acquired markets begin to reach scale over the few years, our return profile will further benefit from these investments. The economy is progressing in the right direction in the industry drivers that were mentioned earlier continued to suggest a good overall environment for home builders. Still there are areas we will monitor closely as the year progresses. Labor has been and will continue to be in an area that will get a lot of attention. On a magnitude basis, the impact of labor is similar to what it was last year. We see deviations on a market-by-market basis. But, the company wide it is relatively consistent, the constraints from a lack and sufficient skilled labor and municipality delays are still there, and they will most likely remain into the foreseeable future; this only tight with an increase in demand for new homes. We continued to address the LABOR shortfall by working closely with our trade partners and believe despite the challenges on the LABOR front, we will continue to be successful and delivering homes timely. We are about one-third through the year, and are quite pleased with our performance. But, as we all know, it's a long year a lot of work ahead. We remain cautiously optimistic on a year and with our early order success over the first four months of 2017. We are increasing our annual closing guidance. For the full-year 2017, we anticipate closings to be between 7,600 and 8,100. Our community count will be generally flat relative to 2016. Our 2017 monthly absorption pace will be 2.3. Our gap home closings gross margin including capitalized interest, is expected to be accretive to 2016 and in the low to mid-18% range. Our SG&A as a percentage of home building revenues is expected to leverage year-over-year and be in the low to mid 10% range. JV income is expected to be about 10 million interstate effective tax rate 34% and 35%. Land development spend is expected to be approximately 1 billion year. For the second quarter we anticipate community account to be flat sequentially from the first quarter of 2017, closings our plan to be between 1,700 1,800 with gap home closing its gross margin including capitalized interest is expected to be in the low 18% range. Thanks. And I will now turn the call back over Sheryl.
Sheryl Palmer: Thank you, Dave. I will wrap up by proving a couple of quick insights into the business and some specific market dynamics. Each of our California divisions are doing well, and we expect to continue the robust sales we have seen earlier in the year. When recent headline out of California that has got some attention is the proposal [indiscernible] assembly bill 199 regarding a potentially broader application of prevailing wages, its not clear if the bill will pass, and if to sell in what form. It is important to bear in mind that many residential projects in California including several of our projects already requires payment of prevailing wages for certain trades. Quite the rest of the industry, we will continue to monitor the status of the bill in the state legislature. I have mentioned the impact from the excessive rainfall experience through our California. It did set us back a bit with some land development activity and foundation start. But, we anticipate by year end, we should be okay assuming that they into extreme weather. In exciting milestones for us, is the opening of our Taylor Morrison brand in Dallas similar to Houston we know operate under both of Taylor Morrison and Darling brand within the market. This will allow for enhance consumer segmentation and strong business synergies that should only get stronger over time. Under the Taylor Morrison banner, we have acquired selective high quality land positions in Dallas and we are already seeing strong traction with more than 20 sales through March. I would like to add this expressive team from just two communities sales activities in just the first few weeks. During our last call, we provided an update on Chicago with the first quarter under our belts I am happy to report that Chicago has outperformed our expectations. Although it's the smallest division in our portfolio, it's been nice to see the success we have had with our product reposition and pricing strategy. The market appears to stand from a long awaited momentum and its certainly moving in the right direction. Let me clarify saying I believe we are up to a very good start in 2017, and I am optimistic about our markets, our focus on being return group in business and in our team ability to drive our results. I am convinced by sticking to our four colored strategy and capital allocation philosophy, we will position the company for meaningful success in the short and long-term. With that, I would like to open the call for questions, operator please provide our participants with instructions.
Operator: Thank you. [Operator Instructions] Our first question is from Ivy Zelman with Zelman & Associates. Your line is open.
Ivy Zelman: Hi, guys good morning. First of, I will share congratulations on the extra role care [indiscernible] very impressive. My first question is just on the volume side, and you know, very strong order numbers continuing into April, which is great to see at the same time you maintain the absorption guidance for the full-year and scarcity could talk through a little bit how you see that playing out doesn't by a fairly significant deceleration even about normal seasonality in the back half of the year. And I am just curious is that more supply driven meaning, you know, either you plan to slowing sales pace little bit to make sure that you, you can build a home focus on consumer experiences as you have highlighted or is there something on demand-side that, you know, led you to believe maybe this current level of sales activity might not be fully sustainable and there are some [indiscernible] going on.
Sheryl Palmer: Yes, so you hit on I think a couple of key points. First of all thank you. And you did hit on the couple of key points. So, first we definitely plan to call some, you know, [indiscernible] forward that just start to year of late. And we release that up the cadence as I set in my prepared remarks for 2017. So, we don't back end the year from the delivery standpoint. And, you know, some point you just have to draw lines, understand and begin, you know, most plan production cadence. Part of that success also, we will have, you know, play a little bit [indiscernible] but the timing of the community of closing out through the balance of the year. So, as we look at, you know, the trend as we get into the back half that would put us somewhere in the low 2-1 case and to maintain our Q3, which isn't, you know, unusual if you look at third and fourth quarter historical trends. So, its nothing that we really see on the demand Allan, it really is more about cadence and what we have actually from the sales standpoint to offer.
Ivy Zelman: I appreciate that Sheryl. Thank you. And second question on the balance sheet a lot of really good things going on there. I think the most interesting was the strong cash generation you guys have this quarter, which is pretty unusual for first quarter. At the same time, I look at your inventory balance down year-over-year in spite backlog being up and I think that all ties into you guys discussed on driving return hiring and inventory turnover higher. I guess my question is how sustainable is that if you are growing the business call it, you know, double-digits annually, you know, at some point I would think that inventory [indiscernible] needs to creep higher. I am just curious where you see that playing out over the course of the year. Is there any unusual claiming of land and [indiscernible] I missed the number you gave but it sounded a bit low for the first quarter of land spent. So, just curious how you are planning out? Thank you.
Dave Cone: Hey, Alan good morning. Yes, so I think what you are seeing more is the function of the land spend last year, than as this year. Last year we came in a little bit under what we thought and a lot of that was more or less on the timing shifts, you know, you take California for example, as an example, where we had some plans spending and that continues to push out a little bit. And those are big dollars, so we are going to see us come back a little bit more in lined here in 2017 again we have guided to about a billion this year and you are going to see more of that spend and kind of be inline with our cadence, you are going to see heavier during the second and third quarter. That said, you know, we are razor focused on driving returns and maintaining our inventory turns and assets turns. So, that is going to play a part of this. Where we have our [indiscernible] right now we do feel strong about it, I mentioned in the comments earlier from a land pipeline perspective really what we are feeling right now is that 2019 obliviously 17 is done, 18 is done. For us there is a lot of focus is mainly.
Ivy Zelman: Thanks Dave. Good luck, guys.
Operator: Thanks. Your next question is from Michael Rehault of JP Morgan. Your line is open.
Michael Rehault: Thanks, good morning everyone. And also, I will share my congrats on the recent position on the board.
Sheryl Palmer: Thank you.
Michael Rehault: Its great to hear. You know just kind of working off Alan prior question on sales pace and, you know, I appreciate that additional color in terms of first half versus back half which is helpful in terms of, you know, how the sales pace could move throughout the year. But, I was curious also around this topic if, you know, you have been able to obviously achieve a pretty strong rate and to me and I would be curious on your comment, but kind of feels like perhaps even better than you are looking for. And if you're going to be kind of moderating that down and part of that is seasonality as we kind of move through the middle part of the and towards the end, just curious that year starts around the ability to capture any incremental price, and if that might be a potential source of upside to the gross-margin guidance, and if you've already started perhaps to pull that price leverage here, going to in some ways help push down a little bit the sales rate as we progress in 2Q?
Sheryl Palmer: That's a fair question, Mike. So I'd say first you're absolutely right, I think the paces were very strong and where we were most pleased is it was across the entire portfolio. When we look at almost every division I think, there was one flap, one, maybe a unit down and everything else significantly up. So we felt really good about the quality of the locations, and I think I would point there to start Michael is that we're seeing the performance across the markets, and we feel like we're doing really well and it points to the quality of the locations and the drivers we have locally come in execution. On the pricing question as we talked about in the past that's just an absolute community-by-community decision, and I will tell you that a significant amount of portfolio of price increases through the quarter, I think it was 30%-35%.
Dave Cone: It's actually closer to 40% of our Communities we saw a price increase.
Sheryl Palmer: So, I'm pleased with that. And as we look forward we'll continue to pull those levers in the right places. We are very delighted to have the backlog in front of the business desk to accomplish this production cadence that is of keen importance to manage the market activity we're seeing from the labor side. We've obviously had some headwinds on both the labor and material, but I'd like to see if the market keeps maintaining the strength. Hopefully we'll see price ahead of costs.
Dave Cone: Yes, like Sherly said, we like our positioning and there's going to be all kinds of puts and takes with the margin this year, with commodities playing a big factor, but we also have some additional benefits obviously from purchase accounting or our effort to sail through some completed specs last year. So you kind of roll all that together with the labor, with the lumber. We still feel good about our margin guidance and that comes through in our overseeing and our backlog. We have good visibility in Q2 and Q3.
Michael Rehault: Great, that's very helpful. And I guess just following up on that, maybe asking it a different way, again I just wanted to make sure I understand it correctly that 1Q and perhaps even April, if I can add on to that, the sales pace was a little better than you were expecting. And if so maybe kind of dialing down to different markets, I mean you said that in general the strength was broad based and we see that in the numbers, but in terms of relative to you expectations, again if 1Q was a little better than expected, which it sounds like it was, where was—on a market level which markets were a little stronger than expected?
Sheryl Palmer: As I said, Michael, it was really across the board, I mean seeing it was—continues to be strong day, really had to a lot with our product offering last year, and the strength of the Communities all being open. When I look at California, really across the board we saw good strength. To cash this is worth a moment because if we think about Houston last year and look at how the business did this year, having all those Communities perform to budget, was very meaningful, so you saw nice strengths across Texas. We also saw great numbers in Austin and Dallas, and then obviously we had the start of Taylor Morrison. I have to mention Florida and the Southeast, because in these markets we saw great strength that I will tell you exceeded our internal budget.
Dave Cone: And Michael, maybe one more thing too, the great success we've had the first four months if that continues that's obviously going to put some short-term pressure on our average Community count just relative to the time, possibly closing out earlier and then just when the new Communities are coming online with that guidance so obviously we're opening and closing about the same amount. So we'll see with that pace strength but obviously we like the trajectory right now.
Michael Rehault: Great, thanks very much guys.
Sheryl Palmer: Thank you.
Operator: Thank you. Our next question's from Stephen East from Wells Fargo. Your line is open.
Stephen East: Thank you, and congratulations on the quarter, and of course Sheryl, I had my congratulations to you for your Chairman role.
Sheryl Palmer: Thank you.
Stephen East: That is great. So I've got to ask you, you all purposely tried to drive the absorption faster etcetera. Can you talk about how you achieved that, what you all did to drive it and I guess the big question is why wouldn't you carry it after the year or is it repeatable etcetera, what were you all doing to make it happen now and possibly not carry it through the year?
Sheryl Palmer: Good question, Stephen. There is not one thing here, there's a number. I think first of it is an absolute focus, the projection cadence, and getting an early start in the year. That has come through some of the discussions we've been having through the last couple of quarters with everyone, regarding our sales focus, our CRM tools, our projection efficiency, our backlog, pipeline management, really giving the sales team more time backing their data, really focus on customers and follow-ups, all of those things with an expectation of really driving to-be-billed sales early in the year, so, one, we don't double down on inventory, and two, to provide our customers a better overall experience. There is no one of those that just proportionately kind of got up there but I will tell you the work that's been done for the last many months and a consistent focus sort of across the entire business is really what's allowed us. And as I said, Stephen, I think we all appreciate that as we continue to see starts move out across the U.S., pan 15% depending on whose numbers you want to believe. The infrastructure isn't moving as quickly, and to the extent that we can be better prepared earlier in the year and really get that production in the ground without having to double down on specs. We think that's a great strategy. So, part of it is having the courage to really even out our production and not let sales ahead of us. We feel really good about where we're at. Could we continue it forward if we wanted to? Probably, but it's really about making sure that we don't let sales get ahead of our ability to start and being able to manage the large inventory we have on the ground.
Stephen East: Okay.
Dave Cone: And then I'll just say that I think that we've put in place Stephen are working we're really able to drive this pace actually without changing incentive. We're down on incentives sequentially from Q4.
Stephen East: Okay, yeah, that was one of the things I wanted to understand there. And one follow-up to that and I'll quickly turn to your terms. Does that mean, do you have a red any of your markets have actually under-performing the markets as you go through the year, and then, Dave, we talked about the asset turnover etcetera, can you all maybe outline where your RV goals are maybe for this year, next year and I guess the primary ways you look to improve that inventory turnover?
Sheryl Palmer: Yes, let me get the first one, Dave, and turn to the second. The answer's no Stephen, we don't sector under-perform our markets. We might have timing differences but when I look at the full year, if we put some forward and based on Community or our availability it might moderate, but we certainly won't—I wouldn't call that under-performing any of our markets.
Stephen East: Okay
Dave Cone: Sorry, as far as the RV, what we've done in the past and hold to that, our plan is to drive accretion to year-over-year without checking out necessarily these specific targets. That's what we're really focused on. We look at—if we look at Q1, it's only 12 months. We're able to increase our RV, by a little bit more than 200 basis points. So, we're going to continue that focus. I don't know if we'll see that level of accretion year-over-year during '17, but we're driving that, we're driving that through some of the things that Sheryl mentioned, production change is that huge aspect of this, just being focused on our inventory and asset levels, operating the productions like a little bit more just-in-time. A lot of it is just kind of the basic 101 on maintaining the balance sheet. And then obviously we worked down our years of supply over the last few years were around 5% now, which is a good level for us—five years. So it's a good level for us and we are going to continue to be very focused on returns.
Stephen East: All right, thanks a lot.
Sheryl Palmer: Thank you.
Operator: Thanks. And next question is from Nishu Sood of Deutsche Bank. Your line is open.
Nishu Sood: Thanks. The guidance for closings in the second quarter 1750, I think is the midpoint. Can you look at your history of the cadence of closing because usually a much bigger step-up from 1Q to 2Q. So looking at the 1630 in 1Q to 1750 normally they would have been a bigger jump. I'm just trying to reconcile that with the comments about being more focused on the construction cycle and managing it through some of the labor and supply chain difficulties. With those efforts shouldn't we have expected a greater jump in closing, maybe there is some pull forward effect there? I mean, I know you obviously raised the year closings number but why not a bigger step also and to get closings?
Dave Cone: So, a couple of things there; one we had a little bit more here in the first quarter than we thought and then you know, with a little bit of that weather issue in California, so with all that rain the impact started, so there is a little push out from the closing standpoint. Obviously, you have an impacted sales but it is impacting closing. Then probably lastly I take it just a year-over-year increase that we saw in Q2 of last year was a pretty big step-up because around 23 or 25% somewhere in that frame, so just from a comparability standpoint, it's a little bit cover, but a lot of this just really comes down to timing we obviously still focused on our annual number, which we did take up -- with redundant point up by 100.
Nishu Sood: Got it, got it. Yes, and definitely that was the message you got from the annual guidance, the actions that you are taking to counter the supply chain, the labor difficulties, so I'm wondering if you could dig into that a little bit more specifically on spec management perhaps how you are managing your start scheduling et cetera. What are some of the specific things you are doing and is it going to result in an improvement in construction cycle times, if so over what period. I was wondering if you could just dig into that a little bit, please.
Sheryl Palmer: That's a fair question. Once again, you see there is a number of things there is not a one magic bullet here. What we are trying to do is get back some of the cycle time that candidly we've lost as an industry over the last couple of years. We have markets that are probably two to six weeks be hot you know, off of what I would call ideal schedules from what we were building to three years ago. The part of it is calling some of that back. From a spec management standpoint you are absolutely right as we talked about to the last, I think Dave for the last three four quarters just talked about are just in time on spec delivery. We like specs; we just prefer them to be sold early in the production cycle. Obviously, that makes a improved margin profile and so when you look at our specs today, it's just the total number out about for community we like but not we like more, we just don't really have any aged inventory. From a production standpoint in the way we are working with our trade. There are I mean I just can't be more pleased with what the work that teams are doing, it's really division-by-division, community-by-community looking at how we release the level of communication production part really working with the trades to understand the resources they had, so that when we guess them within our job sites, we keep them, it's being prepared and for every trade that shows that every day, it's just a heightened level of communication; the heightened level of scheduling. And then, it's all the things we've talked about in the past issue, it's you know, the safety of our job sites, the respect that we give our trade partners. It's the way we pay our builders, all of those things really make a difference, but we are finally starting to see the impact in the field.
Nishu Sood: Got it. Thank you.
Sheryl Palmer: Thank you.
Operator: Thanks sir. Next question is from Mike Dahl of Barclays. Your line is open.
Anthony Trainor: Hi, this is Anthony Trainor filling in for Mike this morning. Thanks for taking my question. So my first question is that on the gross margin guidance, so now versus two months ago when you gave the guidance, it's maintaining at the same, so I just wanted you to - wondering if you could add some color on the puts and takes of higher expectation shift over the last couple of months, seems like there is some pockets of price and power, but this gives the some more incremental inflation on materials. So I was wondering if you could walk through kind of how your expectations have evolved over last couple of months there?
Dave Cone: Sure, Anthony happy too. Yes, so for the year we guided low to mid 18% and that should result some modest improvement year-on-year when compare to last year's GAAP rate. We have good visibility in the backlog and the Q2 and Q3 like I mentioned when you look at kind of the puts and takes we are going to anniversary for accounting as well as our effort around the selling of each specs. We are going to get some modest benefit from our strategic procurement instruction efficiencies that Sheryl has been talking about, we are going to see those start to roll in a little bit more you are going in late Q2 and early Q3; obviously, benefiting from lower capitalized interest with the increased units while interest expense stays flat. And then, of course we believe pricing stay ahead of cost from our pressure standpoint probably comes down to three things continuing to see higher land cost roll through as we burn off the lower cost land and probably some of the mix shift as well. And then, from the labor standpoint, we continue to see labor pick up, but it's that much lower levels than we saw last year. And then, obviously around the commodity to talk a bit from a lumber perspective but we think a lot of that was anticipated when we look at starts already having the ground those prices or those costs are locked in a way and we use price locks as we look out. So that provides us a little bit of protection as well, so I think when we look at overall community -- sorry, commodities, there is going to be some movement but we also anticipate we are going to see a little bit of offset from a cost perspective there as well. So I would say that's the list of things that we took into consideration when reassessing our guidance.
Anthony Trainor: Thanks. That's really helpful. And then, my second question just looking for a little more color on this segment realignment; can you -- I guess explain a little more kind of what happened with the segment alignment, what drove it? And then, is there any implication for lower cost given the temporary alignment or was it just more of an accounting treatment change?
Dave Cone: Yes, more along the latter, we were just trying to better align geographically versus where we were before. So it makes a little bit more sense when we are looking at the map. And I would also say that the way we try to group them economically, they operate in a more similar way with this new grouping. That has evolved over the last couple of years. So, few of those factors led us to think in that. That was the right time to realign them.
Anthony Trainor: Great. Thank you.
Operator: Thanks. Our next question is from Jack Micenko of SIG. Your line is open.
Unidentified Analyst: Hi, good morning guys. This is Phil [indiscernible] for Jack. Sheryl, I think everyone acknowledges at this point that the first time buyer has arrived. Just wondering, I build this sort of shift their focus on to that buyer. What are you seeing in terms of pricing specifically for land parcel on a year-on-year basis and what's your expectation for margin profile out of your JEH and earnings buyer?
Sheryl Palmer: And so, as far as land parcels prefers to have buyer that's a very difficult question because it really does come down to land parcels in certain markets and certain locations, so it's different ways to serve that buyer as we've talked about in the past. So for example a significant part of our first time buyer comes from the bay. And if I think about the land residual in our bay holding those could be somewhere. Those could be in the 40% range because those are core locations and that could be AFPs as 700,000-800,000 that would be very, very different than something that's a little bit more suburban and so it's a very we don't really look at land parcels by consumer group, really it's more the overall land experience and where we are buying it and then just all consumers. Sorry, I don't have really great deal on that one for you.
Unidentified Analyst: I guess it's just a margin profile on the JEH in Orleans…
Sheryl Palmer: Yes, go ahead, Dave.
Dave Cone: Yes, absolutely. So, I will take JEH [indiscernible] in there. That margin actually is above our company average. And then, from the Orleans market I am going to exclude Chicago from that. Obviously, we kind of reset the bar there a little bit. But if you look at the Carolina as I would say that one is in line with Company's average.
Unidentified Analyst: Okay. And then, Dave just wondering if your appetite for share purchases has changed in anyway given that, you know taken measures to increase your both after the recent transaction?
Dave Cone: For us, it always comes down to the best use of cash what kind of drive the best return. So, we are going to continue to be opportunistic, always trying to balance that with the plan, landing developments then we want to make back into the business. Obviously, you know, the last 90 days been in the market selling shares did play a factor. But, we are going to continue to evaluate the capital allocation strategy and share repurchase that's going to remain a key lever in that.
Unidentified Analyst: Okay, thank you.
Sheryl Palmer: Thank you.
Operator: Thank you. Our next question is from Will Randow of Citigroup. Your line is open.
Will Randow: Hey, good morning. Congratulations on both the quarter. You guys mentioned AB 199 and I believe there maybe certain curb outside for our market rates housing. Is it possible that potential changes may actually favorable the impact you are waiting too prevailing veg communities. And could you share any latest updates do you have on AB 199?
Sheryl Palmer: Yes, you know I don't think there is a lot of new news. And what we know that the language that full size have come to our favorable. And they would not be negatively impacted the residential market. At this point, well, we are not counting on any AB 199 to produce when that our back. We are hoping that we don't get any wind in our face. And I think based on our work that's been done. That's hitting with the assembly where, you know, we will wait and see we have probably about another four to five weeks and before that the cut over date, I think its June 2.
Will Randow: Thanks for that. And lastly, how are you guys handle ton thinking about the potential listening mortgage underwriting standards today. Just given transaction and new administration and not a whole lot of news flow out of it, but it sounds like they are bit favorable towards listening?
Sheryl Palmer: Yes, you know there is a lot of news. You are right, but I would tell you at least the flow that's come in has been pretty favorable. I mean we have had a few new announcements just this week. And a couple came out Fanny May earlier in the week that were affective immediately and I think that will be very helpful, and helping customers qualified the first was on the student loans or installment debt, you know, today. If somebody the current policy would allow their borrowers to exclude -- debt. If the borrower wants to provide avenues to the debt within the satisfactory pays with 12 months with no late payments. But the new policy basically would say that, you know, you don't have to count bad debt against the borrower if there is prove and for the last 12 months has been paid by somebody else. This second one really some [indiscernible] will calculate the monthly obligations on student loans. So, I think both of these really do help the overall. The third announcement that we have heard, we don't have clarity on it, and that's the choice act and I think the first hearing was yesterday. And that new legislation would allow the president authority to fire it will to CFPB director and that the new legislation will also allow for the deputy director. So, I think all of these things, you know, are going to be helpful. I don't think to your point we have seen early any significant change to lender guidelines. But what has changed is at the refi business has been reduced. And I think the machines the lenders have filled up will likely make them more competitive and think harder about, you know, the self imposed overlays that we have seen over the last, you know, couple of years. And you know, probably change the overall lenders appetite. I think I will find they are very encouraging, Will.
Will Randow: Thanks for that. It sounds very interesting especially the third point to be quite favorable, which you just mentioned. Congrats again, guys.
Sheryl Palmer: Thank you.
Operator: Thank you. Our next question is from Alvaro Lacayo of Gabelli. Your line is open.
Alvaro Lacayo: Good morning guys, and then, congratulations Sheryl.
Sheryl Palmer: Thank you.
Alvaro Lacayo: So, just I wanted to touch on cost again and expectation now versus where they were before, I mean, you guys highlighted the purchasing accounting the age specs, the lower capitalized interest which is all sort of in plan and driving the benefits. But then if you look at the quarter you will see strength pretty much across the board and deliveries, orders, pricing and absorption. But, you know, you sort of reiterate that gross margin balance, which is better year-on-year, you know, the slightly better just wondering if you could just talk about put some numbers behind the cost inflation expectations now versus where they were at the beginning of the quarter. And if there is any sort of variability and if you think about that might be a little more conservative in terms of how you are guiding going forward?
Dave Cone: Yes, from a cost perspective, you know, say Q1 as an example, direct cost were probably up about a quarter percent number being the biggest factor that was 10% up of probably up at the beginning of the year we are looking at more like 3%. So, clearly, that kind of played a factor. But, again, we have price so that helps to defer, you know the impact. So, for us we are going to see more of this impact late Q3 and into Q4 assuming the prices still stay high and it's obviously the possibility that they could start to turn back down at some point. So, lumbers probably the biggest season of that, outside of that, you know, concrete is up, also copper; those things were largely anticipated most of other commodities are general flat with the few that are down. You know as we go forward, you know, looking at all these puts in takes and what we have from a pricing perspective. I don't know if I would say our guidance conservative as much as it is, you know, more prudent. And I think there is always puts intakes s we look at the different challenges and lumbers is really no different. I mean it's the commodity business at the end of the day and our job is to manage through the type of challenges and we are just do that.
Alvaro Lacayo: Got it. And you mentioned that pricing was across 40% of the footprint, you know, on a normal quarter or just a normalized level. I mean, how significant was that versus what you have seen over the last quarters. Is that a meaningful update from a percentage standpoint?
Dave Cone: Well, having a look at the last three or four quarters, we are probably somewhere in the 30% or maybe a third, so it is slightly up.
Sheryl Palmer: Yes, we have had some quarters higher, we have had some quarters lower, but it's not meaningfully different. I think to Dave's earlier point that we are still raising prices we are still getting the sales, so we actually feel good about, you know, the portfolio.
Dave Cone: You can keep in mind the level of price increases, they are modest. We are not, you know, making big increases each family go out there and do that. So, there just a little bit more meter maybe then what it was done a few years ago.
Alvaro Lacayo: And then, finally, maybe just an update on how you guys see M&A activity in the industry. There is a recent deal announced that, I don't know if there is anything but from a momentum standpoint, but how do you guys seeing the environment?
Sheryl Palmer: You know, I think the environment is healthy. I would tell you that as we seem [indiscernible] the activity and there seems to be, you know, a fair number of smaller transaction that's out there. And we are seeing some small local market regional, don't know yet if there is anything makes sense. But at least there are bucks, you know, we will see it.
Dave Cone: Yes, you know, its part of our capital allocation philosophy. We always reinvest back in the business, and we kind of turned the M&A and I would say that its encouraging thing probably is the gap between buyers and sellers starting to close again to be more so then we have seen in the past. But, you know, it comes down to finding the right deal at the right time that accretive for the business.
Sheryl Palmer: That's the deal. And the cultural attributes…
Alvaro Lacayo: Great, thank you very much, and congrats guys.
Sheryl Palmer: Thank you.
Operator: Thanks. Our next question is from Alex Rygiel, FBR. Your line is open.
Alex Rygiel: Thank you, good morning. And thank you for taking my questions. Could you expand a little bit more up on the labors shortage, are you seeing any meaningful impact on your cost or is it more sort of a delivery delay?
Sheryl Palmer: You know I think it's both. I mean it once again it vary market by market specific Dave went through some of this just specific areas but it's actually as you travel through the business you feel that crunch in either ability to get on size or the cost increases at different points in the cycle, it seems like every market experiences delays at different times maybe the exception to that is Houston where we've actually seen some robust energy backed into the trade base from what happened in couple of years ago with the energy sector. But it is very hard to paint a single brush across the portfolio, I would tell you we have finished trade challenges in some markets and we have framers in others.
Alex Rygiel: And then could you also expand upon your spec strategy a little bit and have there been any kind of recent changes to spec strategy per given market size?
Sheryl Palmer: I don't know that I would call it change in strategy, what we've done is really focus the division on the right specs and the right house on the right and get with the right selection to give us the greatest opportunity to sell early in the process. Once again as I said earlier, we really like specs are an important part of the business or important part of our production cadence and really build the quality of community and actually have a lot of you know empty lots, so they are really important, the only thing we have really tried to continue to focus on from a balance sheet and a consumer delivery standpoint is when we sell those specs in the cycle.
Alex Rygiel: Very helpful. Thank you.
Sheryl Palmer: Thank you.
Operator: Thank you. Our next question is from Jay McCanless of Wedbush. Your line is open.
Jay McCanless: Hi my questions have been answered. Thank you.
Sheryl Palmer: Thank you, Jay.
Operator: Thank you. Our next question is from Carl Reichardt of BTIG. Your line is open.
Carl Reichardt: Hi guys, thanks for taking the question. On the incentives I think David you mentioned that they were down as I think we are expecting to be from Q4 to Q1 year-over-year were they up or down and about how much?
Dave Cone: They were slightly up.
Carl Reichardt: And then when you guided flat community count for this year, can you tell me what openings versus closings are likely to be, and then in this particular quarter was there a significant difference in sales rate on stores that were open say in the last year versus older stores?
Dave Cone: Yes, so on the first, we are opening approximately 90 and then closing approximately 90 and then to your second question yes what I would say is the existing communities one that are opened more than a year we did see a higher pace there, a lot of that is due to bringing on the new markets as well as just high community count growth, so these have kind of all ramped up now on and are definitely hitting our strides. As we always saw when we come out with our guidance, it is really based on how it rolls up from the field and you are just seeing kind of the maturation of these communities really starting to come through.
Sheryl Palmer: It's really an important step Dave and I was just talking before the call about probably somewhere close to 1000 basis points different in the sales that we had coming through the business now, it has been over a year or more, so you are getting some efficiency and that is part of what you are seeing in the numbers.
Carl Reichardt: Okay, thanks very much guys. I appreciate it.
Sheryl Palmer: Thank you.
Operator: Thanks. At this time there are no other questions in queue. Turn it back to Ms. Palmer for closing remarks.
Sheryl Palmer: Thank you all very much for joining us today. Thanks for your kind remarks and wish you a wonderful day and we will talk to you next quarter.